Operator: Ladies and gentlemen, welcome to the Q2 2025 Results Conference Call and Live Webcast. I am Sandra, the Chorus Call operator. [Operator Instructions] The conference is being recorded. [Operator Instructions]. The conference must not be recorded for publication or broadcast. At this time, it's my pleasure to hand over to Christian Stohr, Senior Vice President of Investor Relations. Please go ahead, sir.
Christian Stohr: Thank you, Sandra, and good morning, ladies and gentlemen. Warm welcome to our second quarter 2025 results presentation. Hosting our conference call today is Yves Muller, CFO and COO of HUGO BOSS. Before we begin, please be reminded that all growth rates related to revenue will be discussed on a currency-adjusted basis, unless stated otherwise. To ensure a smooth and efficient Q&A session, we kindly ask you to limit your questions to 2. And with that, let's get started. Yves, the floor is yours.
Yves Muller: Thank you, Christian, and a warm welcome from Metzingen, ladies and gentlemen. As outlined in our press release this morning, at HUGO BOSS, we delivered a solid second quarter performance with both sales and EBIT exceeding prior year levels. While this reflects encouraging progress compared to the first quarter, let me be upfront. The broader macroeconomic and industry environment remained challenging also in Q2. Global consumer sentiment continued to be subdued and store traffic remained under pressure in most markets. What fueled our progress in Q2 was once again the strength of our disciplined execution and our relentless focus on key levers within our control. Across brands, channels and regions, we advanced strategic initiatives to capture growth opportunities even in a persistently volatile environment. Equally important, we maintained strict and sustainable cost discipline for the fourth consecutive quarter, driving further efficiency gains across our business. These efforts translated into a 1% increase in group sales, totaling just over EUR 1 billion in the second quarter. This marks a clear improvement compared to Q1 when sales were still down by 2%. At the same time, our focus on cost efficiency contributed to a robust bottom line performance. EBIT rose by 15% to EUR 81 million, translating into an EBIT margin of 8.1%, an increase of 120 basis points compared to the prior year. This underscores strong cost leverage supported by a stable gross margin, which I will explain in more detail shortly. But first, let's take a closer look at our top line performance, starting with the breakdown by brand. In the light of the challenging market environment, we remain steadfast in our focus on strengthening brand momentum, our guiding principle within CLAIM 5. Building on the foundation laid, we placed particular emphasis on BOSS menswear in the second quarter, thereby leveraging our 24/7 lifestyle offering. A clear highlight in this regard was the successful launch of our first Beckham x BOSS collection in April. The collection not only outperformed previous collaborations on social media, but equally importantly, delivered above-average full price sell-throughs. The success reinforces our strategic focus on building long-term brand relevance over short- term gains. Even in a volatile environment, we identify and act on opportunities that support our ambition of driving sustainable, high- quality growth. As a result, revenues at BOSS Menswear increased by 5% in the second quarter, highlighting the brand's strength and resilience. At the same time, in Q2, we accelerated targeted measures to enhance efficiency and strengthen the performance of both BOSS Womenswear and HUGO in the long run. To better align with evolving consumer preferences and improve sales productivity, we sharpened product assortments and implemented a more focused distribution approach. As anticipated, these proactive steps have impacted sales development to some extent. In Q2, revenues at BOSS Womenswear declined by 8%, while HUGO was down 12%. It is worth noting that the comparison base for BOSS Womenswear still included sales from the BOSS Camel line, a line we have now integrated into BOSS Black as part of our efforts to streamline the offering. While these changes are transitional, they are strategically necessary to position both brands for sustainable and profitable growth in the future. We are confident that these adjustments will unlock long-term value and ensure that both BOSS Womenswear and HUGO are well positioned to meet the demands of today's consumers. Let's now take a closer look at our performance across regions, starting with EMEA, where sales returned to growth and increased by 3% year-over-year. This performance was supported by improvements in Germany, while the U.K. remained slightly below prior year levels. Encouragingly, our business in the Middle East also continued its growth trajectory. In the Americas, revenues increased by 2%, marking a return to growth following a softer start to the year. This improvement was particularly evident in the U.S., where we saw a gradual recovery in demand during the second quarter. While overall consumer sentiment in the U.S. remains subdued, I'm pleased to report that our brick-and-mortar retail business achieved modest growth in Q2. Meanwhile, our business in Latin America delivered another successful quarter with robust improvements. Finally, in Asia Pacific, sales declined by 5%. This largely reflects continued softness in China, where muted consumer confidence weighed on demand also in Q2. By contrast, revenues in Southeast Asia Pacific remained stable year-over-year, supported by another solid performance in Japan. With this, let's now turn to our performance across distribution channels. In our brick-and-mortar retail business, momentum improved sequentially with sales ending just 1% below the prior year level. This marks a clear improvement versus Q1, where we saw a 4% decline. That said, muted consumer sentiment continued to weigh on the overall performance, leading to a decline in store traffic. On a positive note, we achieved slight improvements in both conversion rates and sales per transaction following our efforts to elevate the in-store shopping experience. Looking ahead, we remain committed to continuously optimizing our retail footprint by balancing space reductions with investments in high potential locations. A great example is the recent opening of our BOSS Halo store in Barcelona, which offers a first-class brand and retail experience. Moving over to brick-and-mortar wholesale, where sales grew by a solid 3% in Q2. This performance was driven by the successful delivery of our Summer and Fall 2025 collections to our wholesale partners alongside the continued expansion of our global franchise business. Together, these achievements more than offset the broader challenges of the wholesale sector, headwinds we expect to persist in the quarters ahead. Last but not least, our digital business continued its growth trajectory with sales up 7%. Growth was primarily driven by stronger digital sales through our partners. Meanwhile, hugoboss.com experienced slightly softer trends, reflecting both the subdued market environment and our focus on driving full price sales. This is a clear testament to prioritize long-term brand equity over short-term volume. With this, let's shift our focus to profit and loss, starting with the gross margin. In the second quarter, our gross margin remained stable at 62.9%. Efficiency gains in sourcing, lower product costs and the reduced share of airfreight positively contributed to the margin development. These factors enabled us to effectively offset an adverse channel mix effect as well as several market-related headwinds, including unfavorable currency movements and the promotional market environment in light of declining store traffic. Turning to our cost base. In Q2, we delivered another quarter of strict cost discipline and achieved a 3% reduction in operating expenses year-over-year. This translated into strong cost leverage of 120 basis points, driven by further efficiency gains across key business functions, including sales, marketing and administration. Selling and marketing expenses were down 4% in Q2, driven by a 6% reduction in brick-and-mortar retail expenses. This reflects our strong focus on retail efficiency, including renegotiating rental contracts and selectively closing underperforming stores where appropriate. As a result, total selling space was reduced by 2% as compared to year-end. Meanwhile, marketing investments declined by 10%, largely due to timing effects. Importantly, on a first half basis, marketing spend remained broadly stable at 7.6% of group sales. This reflects our commitment to allocating marketing resources with maximum efficiency, prioritizing product-led storytelling and commercial impact. Let me be clear, marketing remains a strategic growth driver for us. It is fundamental to building brand equity and fostering customer loyalty. Both areas are essential for our sustained success and will not be compromised. Lastly, administration expenses declined by 2%, underscoring the success to further enhance operational efficiency and maintain disciplined cost management. Turning to the bottom line. Our focus on driving sustainable cost efficiency delivered solid earnings growth in Q2. EBIT increased by 15% to EUR 81 million, resulting in an EBIT margin of 8.1%, an improvement of 120 basis points compared to last year. Earnings per share in turn rose by 27% to EUR 0.68, supported by a decline in net financial expenses. This development was mainly driven by favorable currency effects, but also underscores the strength of our overall financial management. Now to round off our Q2 review, let's take a brief look at the remaining balance sheet and cash flow items. Trade net working capital increased by 5% on a currency-adjusted basis driven by a 7% rise in inventories year-over-year. This development largely reflects higher goods in transit as well as a planned increase in inventory coverage. The latter was particularly evident in the U.S. market, where we proactively took measures in the first half to address ongoing tariff uncertainties. We remain confident in the quality and composition of our inventories. The majority consists of core and fresh merchandise carefully designed to effectively meet customer demand. Considering the development of accounts receivables and accounts payable in Q2, trade net working capital as a percentage of sales improved by 150 basis points year-over-year, decreasing to 19.7%. Turning to free cash flow, which amounted to EUR 138 million in the second quarter, slightly below the prior year level. While improvements in EBIT and lower capital expenditure provided support, these tailwinds were more than offset by higher cash outflows related to trade net working capital. Ladies and gentlemen, this concludes my remarks on our second quarter performance. Let's now move on to our expectations for the remainder of the year. As we enter the second half of the year, we remain committed to executing our strategic agenda. Our priorities will continue to center on profitable growth, anchored by strategic brand investments, seizing additional sales opportunities and enhancing operational efficiency. This integrated approach allows us to further strengthen the long-term relevance of BOSS and HUGO, focus on high-quality growth and safeguard margin integrity even in the face of external volatility. In this context, I am excited about 2 key milestones that will further elevate brand health, the upcoming launch of our Fall/Winter 2025 collections later this month as well as our BOSS fashion show in Milan in September. Equally important is our commitment to deepening engagement with our most valuable customers, a key lever for driving customer lifetime value and brand loyalty. Since launching our customer loyalty program, HUGO BOSS XP, just 1 year ago, we have expanded our member base by over 20%, surpassing 11 million registered customers of BOSS and HUGO. Most recently, we reached the next milestone by integrating HUGO BOSS XP into WeChat, expanding our engagement in the Chinese market. A rollout in the U.S. is also planned for later this year. At the same time, building on 4 consecutive quarters of strict cost management, we are intensifying our efforts even further. Leveraging our global sourcing capabilities will remain a key driver in supporting gross margin. Furthermore, we will accelerate targeted measures to streamline operating expenses across the organization. This consistent focus on cost efficiency is not only critical for our profitability in the quarters ahead, but also essential for building a leaner, more scalable cost base for the future. All this being said, we remain mindful of the ongoing macroeconomic and geopolitical uncertainties shaping the global landscape. While our robust business model gives us confidence in navigating this dynamic environment, we continue to monitor external development closely, in particular the evolving tariff discussions. Since our last update in early May, we have taken concrete steps to mitigate tariff-related impacts. Our well-diversified global sourcing footprint is a clear advantage in this regard. It enables us to swiftly adapt to changing conditions and optimize sourcing decisions. In particular, we have increased our inventory coverages in the U.S. and successfully rerouted product flows from China to other regions. Looking ahead, we will introduce moderate price adjustments globally with the upcoming Spring 2026 collections, which will begin delivery towards the end of 2025. These steps aim to safeguard our margin profile while remaining aligned with broader market dynamics. Importantly, we remain fully committed to the superior price value proposition of BOSS and HUGO, a principle our customers can continue to rely on. Given our solid first half performance, our visibility into the remainder of the year and the current tariff environment, we are reaffirming our top and bottom line outlook for the fiscal year 2025. We continue to expect group sales in reported terms to remain broadly in line with the prior year, ranging between EUR 4.2 billion and EUR 4.4 billion. At the same time, we continue to anticipate our bottom line to improve in 2025. EBIT is expected to increase to a level between EUR 380 million and EUR 440 million, leading to an EBIT margin of 9% to 10%. Before we move on to the Q&A session, let me briefly summarize today's key takeaways. Over the past few years, we have built a robust foundation that positions HUGO BOSS to navigate today's rapidly evolving environment with agility and focus. Our first half performance underscores the strength of this foundation driven by disciplined cost management, operational excellence and our commitment to brand elevation. At the same time, we acknowledge the challenges facing the industry. Headwinds persist from currency and tariffs to muted consumer sentiment and traffic pressures and could intensify amid prevailing uncertainties. Therefore, our priorities are clear. We will continue to invest into our brands with discipline, unlock additional growth opportunities and accelerate efficiency gains across the business. These efforts will position us to realize the full potential of our company and our 2 iconic brands, BOSS and HUGO. Even in a challenging environment, we remain steadfast in our commitment to brand elevation and premium execution. Guided by a clear ambition to deliver sustained success for HUGO BOSS, we are confident in our ability to navigate near-term challenges while shaping the future of our company and creating lasting value for our shareholders. And with this, we are now very happy to take your questions.
Operator: [Operator Instructions] Our first question comes from Grace Smalley from Morgan Stanley.
Grace Smalley: My first one would just be on -- given the growth acceleration you saw between Q2 and Q1, could you just help us with what that exit rate looked like in Q2? And then any initial comments on current trading so far in July and start of August? And then my second question would be on the U.S. You've seen the improvement in trends between Q2 and Q1. What do you attribute that to? And is there any signs that there's any potential pull forward in terms of purchases, whether it be from the end consumer or customers ahead of potential price increases? And just any color you could share for us in terms of what you're hearing from your U.S. wholesale partners and how they're planning their business into H2 and into 2026 given the current uncertain backdrop?
Yves Muller: Yes. Grace, thank you for your 2 questions. So regarding our top line performance in Q2, actually, we don't disclose it on a monthly basis. But overall, what I can say is that we have seen actually a gradual improvement in course of Q2. With regards to the current trading, I can somehow confirm that we are performing on the same level that you have seen as an average in Q2 performance. With regards to the U.S., definitely, what we have to say is that we are very happy, first of all, that we are back to growth in the U.S. and whole in North America, including Canada. I think this is a great achievement. I think Q1 was pretty soft after the inauguration of Mr. Trump and especially store traffics have been very low in Q1. This has gradually improved over Q2. And actually, what we are seeing that also the retail performance that we have finalized in Q2 was also in positive territory. So I would not view that these are, let's say, consumer trends in terms of pulling it forward. I would clearly say over this kind of period of 3 months and now looking into July, it seems to be that there is a kind of gradual improvement also in retail. But it takes a certain effort. We really have to say overall that the overall uncertainty creates a low consumer confidence and low consumer confidence results in low store traffic. So store traffic overall is still declining, and we try in our sales departments to do everything to compensate this with higher conversions and actually with higher net sales per transaction. And this is actually what we have seen as a kind of, let's say, algorithm in Q2, which is also true for Q2 in the U.S. And this is, from my point of view, kind of this somehow underlines that our collections are working in the U.S. and that we are capable of somehow compensating the low store traffic with higher conversion rates.
Grace Smalley: Okay. And just a follow-up in terms of what you're hearing from your U.S. wholesale partners and how they're planning their business given the current uncertainty?
Yves Muller: For the time being, of course, there are some partners with the concession business like Hudson's Bay in Canada, which are now actually out of business. So we have to somehow compensate this. But more or less, we have seen some flattish trends overall in wholesale for the next seasons to come.
Operator: The next question comes from Dhar, Manjari, from RBC.
Manjari Dhar: It's Manjari Dhar, RBC. I just had 2 as well, if I may. My first question was on the space reduction in your own retail business. I was just wondering, as you look at the space exposure in the store estate now, how much more is there to go for in terms of closing underperforming stores and seeing some savings through that? And then my second question was on the brands. I just wondered if you could give some color, Yves, on the performance of the HUGO brand versus the BOSS brand across Q2?
Yves Muller: I didn't get the second question, Manjari. Could you repeat that, please?
Manjari Dhar: It was just on the performance of the HUGO brand versus the BOSS brand in Q2?
Yves Muller: Okay. Okay. So regarding the first question, so regarding space reduction. So first of all, there have been these Hudson's Bay shop- in-shops that are now out of business. So we have to include them into our considerations in terms of space. But these are, let's say, shop-in-shop concepts, used to be department stores in a variable cost business. This is point one. But we are also, I think, in these efficiency measurements and regarding our, let's say, freestanding stores, very rigid and look at high profitability levels. And if we are not able somehow to renegotiate rents to the expected level that we want to see them, we would rather go for a kind of closure. And this has been visible. So we want to somehow establish a kind of robust retail brick-and-mortar business. And this was visible also in Q2 and was driving actually our operating -- our retail sales down by 6% in comparison to last year. I think this is a structural thing that we are doing continuously to optimize our store portfolio. As a reminder, we have, let's say, over 120 rental contracts that expire every year. And in these moments where store traffic is really down, which is somehow the currency of the landlord, we try to be very rigid in renegotiating rents. And this has some structural positive effects in the future in order to get the rents down for the future because traffic, which is, let's say, globally down in point one. And also, we want to have a robust store portfolio in order somehow to be more efficient in our retail brick-and-mortar business. And this overall optimization will also continue in the quarters to come. The second question was related to the different performance between BOSS and HUGO. Yes, we were growing with BOSS Menswear by plus 5%. BOSS Menswear is 80% of our business. So we really focused on BOSS in difficult times. I think with the launch of BOSS x Beckham, we really had a strong collection and a strong interest of the end consumer that was driving traffic into our BOSS POS. So that was helping us and 5% is actually a quite strong performance, also driven by our green products that were performing quite strongly, and also Camel. Regarding HUGO, we have somehow streamlined our portfolio. So we are more focusing now. So we have reduced the offering. And with this, we are more focusing also on street tailoring. We see that HUGO has the heritage in tailoring, contemporary tailoring, younger tailoring, and this is where we are focusing, and that was somehow a kind of, let's say, transitional movement that we did deliberately in order to strengthen HUGO going forward.
Operator: The next question comes from Susy Tibaldi from UBS.
Susy Tibaldi: I have 2 questions, please. So the first one, can you comment a bit on your wholesale channel? How is your order book looking at the moment? And also any difference between what you're seeing in terms of orders versus the ongoing replenishment business? And then secondly, regarding your overall OpEx. Last year in H2 is when you really started to have a stricter control over costs. So now you have delivered over the past 4 quarters really good progress there. But I was wondering, as we start to annualize some of those savings, do you think that OpEx in H2 can still be flattish to slightly down year-on-year? Or what's overall your outlook?
Yves Muller: Yes. Susy, thank you very much for your questions. So first of all, if we look at the wholesale performance overall, we are actually quite happy that we have improved from minus 3% in Q1 to plus 3% in Q2. We have seen actually that the replenishment business, which is, let's say, 25% of our business, has improved in Q2. So this means that even with our wholesale partners in Q1, traffic was fairly low and replenishment was also declining, but we have seen some positive trends going into Q2. Now if you look at the Fall and Winter collections, they are still in positive territories. And if you then look into the Spring campaign, you see some softening trends. But actually, this is what we have expected overall, and this is also baked in, in our guidance because we have seen now several quarters of tremendous growth in the wholesale environment. We are in close collaboration with our wholesale partners now since we introduced CLAIM 5. We have seen tremendous growth rates over the last quarters. So somehow, we have expected a kind of softening for Spring. And also, we have to say that we might get some tailwind also coming from our franchise business where we are still expanding also into emerging markets. Regarding your second question, yes, I think we really make big progress regarding the OpEx side. So OpEx is a thing that we can control on our own, and we have now been very disciplined over the last 4 quarters. I tried to mention that we are actually trying to find efficiencies in all the different areas between retail, between marketing, marketing effectiveness, and administration, in all different areas. I have to highlight that it was also visible in H1 that with our marketing spending staying at 7.6%, we are well in the range between 7% and 8%. So we really lay high emphasis on investing into our brands because we manage our business for the long-term success of the company. And we always said we will be between 7% and 8% and actually, we perform accordingly. On the other side, we are really focusing our marketing investments into Beckham -- into the new collections. So we try to be very mindful of marketing activations that have a kind of commercial focus and are commercially relevant. Regarding the selling expenses, I've already talked about the store portfolio. I think we are optimizing our retail costs in different aspects. So we are definitely aligning our shop personnel also to the decreasing traffic. So we have a clear KPI FTE per visitor. So if the visitors are declining, we are adjusting this. You might have seen this also in our employee development, where we've seen it kind of decline by 2% to 3% in our numbers. So we are very mindful of this and try to manage this very tightly in order to achieve the necessary impact. The second big effect that we are seeing is coming from the store portfolio. I touched the issue of rental costs to get rental costs down to close the underperforming stores. This gives us, for a longer period of time, a kind of structural advantage, which is not just a one-off. It's really kind of a structural thing of improvement that we are seeing. And the same is also true for the administration expenses. So we have been very selective in terms of hiring now for a very long period of more than 4 quarters, very rigid in hiring, very selective. I just pointed out our employee development. So you see also there some structural effects. And of course, we want to keep our costs at least flat for the second half of the year.
Susy Tibaldi: Okay. Helpful. Can I just -- a quick follow-up on your franchising business? Roughly, what's that weight of the wholesale channel?
Yves Muller: It's around 20%.
Operator: The next question comes from Frederick Wild from Jefferies.
Frederick James Wild: They're both on gross margin issues. First, on the promotional environment. Can you describe what it was like in Q2, how it was different from Q1? And whether within your store and sales mix, you're seeing the number of outlet stores stay constant? Or is it expanding a little bit? So that's the first part, please. And then second, from a sort of higher-level perspective, obviously flat gross margin in half 1. Can we expect a similar gross margin performance in half 2?
Yves Muller: Thank you very much, Freddie. So you had the questions around gross margin. So first of all, I think we are very happy that we kept our gross margin stable. If you look at the different moving parts to be perhaps a little bit more explicit there, we have seen around-ish 150 basis points improvement coming out of sourcing efficiency, lower product costs and actually lower airfreight share. So we try to manage these things. This is what we're saying. We try to control our costs, and this is also true for the COGS in our P&L. So we have seen this improvement by 150 basis points. And they were, let's say, fully compensated by -- half of the effect was channel mix effect. So wholesale growing faster than retail. And then 1/4 of the negative effect was currency and 1/4 was promotional activity. What we can say is that since the store traffic, although the decline was a little bit less than in Q1, you can see that the promotional activity was slightly less in Q2 in comparison to Q1. So we have seen a slight improvement there. But overall, we would say that these moving parts are also visible for the end of the year. We still have our ambition to get into the range between 62% and 64%. So we would be rather at the lower end on a yearly perspective. So we envisage somehow to have a slight improvement in gross margin going into the second half of this year, but the big moving parts will be the same. And actually, if you then compare outlet business within our retail business, actually, it's rather stable. So no big things that I would actually call out with this regard.
Operator: The next question comes from Jurgen Kolb from Kepler Cheuvreux.
Jurgen Kolb: Two questions. First one, everything around the two smaller brands, HUGO and BOSS Womenswear. HUGO, obviously, minus 12%. I was wondering if you could maybe give us some indications about what categories really you're scaling down? Is that more Red? Or is that Blue already in channels? Or where are we in this kind of adjustment? Is that going to be a little bit of a longer project? Or are we largely done in H1? The same basically for BOSS Womenswear here. Also here, channels and how long will it take to get this level right? And in this wake also, it looks like the scale is not there yet, at least at that point, at HUGO and BOSS Women. Maybe you need an acquisition? Or are you looking for an acquisition to strengthen both businesses in order to get scale back? That's the first part of the equation. And then the second part is, again, on the inventory side. You mentioned that the share of goods in transit increased, obviously, because you're shifting air freight to container. Do you have a number here that we could relate to like the share of goods in transit in H1 this year versus last year? That would be helpful.
Yves Muller: Jurgen, thank you for your questions. So regarding those 2 different brands, HUGO, BOSS Womenswear. So first of all, I can say that HUGO Blue is still growing, whereas Red is somehow decreasing. We have taken some of the measurements, like I already said, to strengthen our street tailoring offering, whereas we overall reduced our product assortment. And on top of this, we have closed some of the HUGO distribution. Especially in the Western Hemisphere, we have closed some of underperforming HUGO stores. So this will then somehow prevail for the next months to come. But I think the intention that we are taking is we have a long-term view, because we want to strengthen the brand itself and also we want to improve the profitability of the brand of HUGO. That's the intention while we are doing this kind of exercise to really focus on the core in terms of product assortment and distribution. The same is actually true for BOSS Womenswear also, where we integrated BOSS Camel back into BOSS Black. So this has a kind of effect in terms of product assortment. And on top of this, what we are doing is we try really to focus in our own retail environment of bigger BOSS Womenswear appearance. So for example, in BOSS Regent Street, you will find a nice BOSS Womenswear POS, but we'd rather close smaller BOSS corners within the BOSS Menswear store where you only have, let's say, between 10 to 20 square meters where we focus on BOSS Menswear. So these are measurements that we are taking on both product assortment and distribution to have a clear focus on store productivity with this regard and to drive the profitability of our brick-and-mortar business. And actually, both businesses, I mean, the HUGO business, you know the size of the HUGO business and BOSS Womenswear. You have a decent margin with those because they are already scaling. So for the time being, I would say we are not focusing on M&A for the time being. Regarding inventories, there you are completely right. So yes, we are further decreasing our airfreight share. I said we were in the low teens in the beginning -- at the end of last year. We are now at a high single-digit number in terms of airfreight share. So we are continuously reducing this. And this leads to the fact that we have higher goods in transit. We still have the Red Sea issue in all this. So this is good for an amount between -- if I compare this year-over-year between EUR 20 million to EUR 30 million in COGS. And I also want to highlight that we took, as a management team, the deliberate decision to increase our inventories in the U.S. because we wanted to somehow save our gross margin going forward because of the tariff discussions. So we have increased deliberately our inventory position in the U.S.
Operator: The next question comes from Thomas Chauvet from Citi.
Thomas Vincent Chauvet: I have 2 questions, please. The first one on digital, you've had another quarter of solid growth of 7%. But with digital wholesale up more than that. And as you said, hugoboss.com, so your retail was softer. Why is there such a growth divergence between both digital channels in the past few quarters? Is it mainly the results of heavy promotional activities at your partners driving strong sell-through as opposed to your maybe stricter markdown policy in your own e-commerce? And secondly, on the shareholding structure, could you come back to the short statement you made last month after your largest shareholder, Frasers, reached 25% thresholds and notified the company of the intentions. In particular, they recommended you to redeem the 1.4 million treasury shares you hold. And also they suggested not to pay any dividend to fuel investments in growth. It sounds like you were open to the idea of canceling those treasury shares as per your statement, but less so perhaps of scrapping the dividend. Is that a fair assumption? And can you also remind me how the Supervisory Board operates with regards to approving the proposed dividend by the Managing Board? Is it a simple majority required? And I'm asking that, as you can imagine, given Frasers' CEO, Michael Murray, has now been appointed to the Supervisory Board in recent months.
Yves Muller: Thank you, Thomas, for your questions. Regarding the first question, I think you already gave the answer because deliberately, we took the decision for hb.com to have a stricter markdown policy because we want to really foster full price sales. So we have been, let's say, very disciplined when it comes to discounting, whereas wholesale partners were, let's say, more active on the discounting part and with this driving actually the business. And of course, everything is comparable on the online side. So we deliberately took this kind of decision because here, we also say we want to protect our own brand integrity for the long-term success of HUGO BOSS. And at the end, we look at the full result of our digital business. So we are happy with this 7% overall performance. We are very mindful. We are comparing the numbers actually on a daily or weekly basis. And we are overall happy with the numbers, but it was also a deliberate decision not to discount as heavy in the online sector. Regarding your question regarding Frasers, just to put this into perspective, so in terms of how the process is working regarding the dividend. So it's actually the Managing Board, Daniel, Oliver, myself to make a proposal to the Supervisory Board. And then the Supervisory Board has a certain decision, which is done by a majority in terms of the members of the Supervisory Board. And then there is a kind of proposal that goes to the AGM. And at the AGM, you have the shareholders to decide upon the dividend, yes or no or have a kind of, let's say, other proposal regarding our dividend. So definitely, for those 2 aspects, first of all, regarding the dividend policy. So if you look at CLAIM 5, which has been our strategy, we have a dividend policy that we have laid out. From our perspective, it's a good balance between investing into the growth and on the other side, considering the interest of the shareholders. Now as you know, we are operating at the last year of CLAIM 5 execution. We are working as a management team together with the Supervisory Board on a new strategy where we have new long- term goals. So first of all, we look at our strategy, if the strategy is the right thing that we have a, let's say, strategic alignment between the Supervisory Board and the Managing Board. And then, of course, we will look also at capital allocation, but we are very much convinced that we will find -- first of all, we have a constructive dialogue and that we will come to a kind of conclusion there. And with regard to the redemption of our treasury shares, we are looking into this legally, what are the prerequisites that we might redeem those shares, and we will look into this, and we will give you further notice once we have taken a decision.
Operator: The last question for today comes from Andreas Riemann from ODDO BHF.
Andreas Riemann: Two questions actually on pricing. First one in the U.S., I guess it's interesting to see what the consumer feedback is on price increases. So therefore, my question, looking at you and competitors, when do you think we will see broad-based price increases in the U.S. market? Is that something for Q3? And related to that, Yves, did you say you plan to raise prices also worldwide? If so, what regions would be affected? And why exactly did you decide to raise prices globally because we see that sourcing costs go down, the dollar is weak. This would be my second question.
Yves Muller: Yes. Thank you very much, Andreas, for your 2 questions. Regarding pricing in the U.S., I think you will see price increases coming into the second half of the year. I think this will be visible. You see it today only on a selective basis because everybody was waiting until the uncertainties will go away. So actually, we expect actually in the second half that the U.S. will see price increases. As a matter of fact, and as you know, there is hardly no textile or apparel industry in the U.S. So everybody is actually suffering from it. Some are suffering more than others. But definitely, you will see price increases in the U.S. that will drive overall inflation. Yes, we have taken the decision to increase the prices globally. We have excluded the Chinese market, to be very transparent. But overall, it's on a global scale. We do it -- the price increase has been done smartly, I would say, on 2/3 of our SKUs, but it will give us the opportunity to raise prices between low- to mid-single-digit price increases. We try to protect the corner prices in our portfolio. But I think we have now in CLAIM 5 invested heavily over the last 3 to 4 years into the product. We have invested into the distribution. We invested into the marketing. We are offering a very superior price value proposition overall. And with this price increase, I think overall, we are well in line with the competition, what they are doing. We have been very humble in the last 3 to 4 years with only 2 mid-single-digit price increases over the last 4 to 5 years. I think there is room for price increases because our brand shows the strength and the consumer sees the investments that we have done into our stores. The customer experience is much higher. So we see room for these kind of price increases.
Christian Stohr: Thank you, Andreas. Thanks, Yves. Ladies and gentlemen, that actually concludes today's conference call. Thank you all very much for your participation. We look very much forward to connecting with you during our upcoming road shows. Wishing you a wonderful summer break. Take care and goodbye.
Operator: Ladies and gentlemen, the conference is now over. Thank you for choosing Chorus Call, and thank you for participating in the conference. You may now disconnect your lines. Goodbye.